Operator: Good day, ladies and gentlemen. And welcome to the Bank of Hawaii Corporation First Quarter 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. Following management’s prepared remarks, we will host a question-and-answer session, and our instructions will be given at that time. [Operator Instructions] As a reminder, this conference call maybe recorded for replay purposes. It is now my pleasure to hand the conference over to Ms. Cindy Wyrick, Director of Investor Relations. Ma’am, you may begin.
Cindy Wyrick: Thank you, Brian. Good morning, good afternoon, everyone. Thank you for joining us today, as we review the financial results for the first quarter of 2018. Joining me today is our Chairman, President and CEO, Peter Ho; our Chief Financial Officer, Dean Shigemura; and our Chief Risk Officer, Mary Sellers. Before we get started, let me remind you that today’s conference call will contain some forward-looking statements. And while we believe our assumptions are reasonable, there are a variety of reasons that the actual results may differ materially from those projected. And now, I’d like to turn the call over to Peter Ho.
Peter Ho: Thanks, Cindy. Good morning, everyone. Thanks for joining us today. First quarter of 2018 was another solid quarter for Bank of Hawaii. We had good financial performance, with the rising net interest margin, sound asset quality, discipline expense control and solid balance sheet dynamics. Our loans grew to $9.9 billion at the end of the quarter, an increase of 1.2% from the previous quarter, with growth in both our commercial and consumer loan portfolios. Compared with the first quarter last year, total loans increased 8.8%. Total deposits were also up compared with the previous quarter due to continued strength of the consumer deposits area. Compared with the first quarter last year total deposits increased 3.3%. In addition to the strong financial results, I am pleased to announce that our Board has declared a dividend of $0.60 for the second quarter of 2018, an increase of 15.4% from the previous quarter. Now let me ask Dean to provide you with some additional details our financial performance this quarter and then Mary will comment on credit quality. Dean?
Dean Shigemura: Thank you, Peter. Net income for the first quarter was $54 million or $1.28 per share, compared to $43 million or $1.01 per share in the fourth quarter and $51.2 million or $1.20 per share in the first quarter last year. Our return on assets during the first quarter was 1.29%, the return on equity was 17.74% and our efficiency ratio was 57.91%. Our net interest margin for the first quarter was 3%, up 2 basis points from the fourth quarter and up 11 basis points from the same quarter last year. As a result of the Tax Reform bill which required a revision in our tax equivalent adjustment, the net interest margin for the first quarter was reduced by 4 basis points. This adjustment had no impact on our net interest income for the quarter. Net interest income on a reported basis for the first quarter 2018 was $119 million, up $0.2 million from the fourth quarter and up $9.1 million from the first quarter of last year. As Mary will discuss later, we recorded a credit provision of $4.1 million this quarter. Noninterest income totaled $44 million in the first quarter of 2018, compared with $41.9 million in the previous quarter and $55.9 million in the same quarter last year. Noninterest income in the first quarter of 2018 included a $2.8 million distribution from the low income housing partnership. Noninterest income in the first quarter of 2017 included a gain of $12.5 million from the sale of Visa Class B shares. There were no Visa share sales in the first quarter of 2018. Adjusted for these gains, the decrease in noninterest income compared with the previous quarters were largely due to lower mortgage banking income and a continuation of the decline in overdraft fees. Going forward the growth in noninterest income will continue to be a challenge due to the downward trend in overdraft fees and our expectation for lower volumes of salable mortgages. Noninterest expense totaled $94.4 million in the first quarter of 2018, compared with $92.3 million in the previous quarter and $88.6 million in the same quarter last year. Results for the first quarters of 2018 and 2017 included seasonal payroll-related expenses of approximately $2.5 million. Noninterest expense during the first quarter of this year also included a legal reserve of $2 million and severance of $1 million in addition to $0.5 million related to the implementation of the new minimum wage for the company. Noninterest expense in the fourth quarter of 2017 included one-time employee bonuses totaling $2.2 million. Adjusted for these items noninterest expense was down 2% from the previous quarter and up 2.7% from the same quarter last year. For the full year of 2018 we expect expenses to be above 2.5% to 3.5% above our 2017 expenses. The effective tax rate for 2018 was 16.19%, compared with 32.93% in the previous quarter and 29.72% during the same quarter last year. The effective tax rate in the first quarter of 2018 was due to the reduction in the federal corporate tax rate and a $2 million favorable adjustment in our low income housing investments. For the fourth quarter of 2017 -- the fourth quarter of 2017 included a one-time negative adjustment of 20 -- of $3.6 million related to the Tax Reform bill. Currently, we expect the effective tax rate for the remainder of 2018 to be between 19% and 21%. As a result of loan growth exceeding deposit growth in the first quarter, our investment portfolios decreased to $6 billion, premium amortization was $9.6 million in the first quarter of 2018, down from $10.1 million in the previous quarter and $10.6 million in the same quarter last year. We purchased a total of $121.9 million of securities during the quarter, which were primarily comprised of treasuries and SBA securities. The reinvestment differential during the first quarter was a positive 6 basis points. The duration of the available for sale portfolio was 2.52 years at the end of the first quarter of 2018, the held to maturity portfolio duration was 4.23 years and the duration for the total portfolio was 3.6 years. Our total shareholders’ equity increased to $1.24 billion at the end of the first quarter, our Tier 1 capital ratio was 13.37% and our Tier 1 leverage ratio was 7.46%. During the quarter we paid out $22.1 million or 41% of net income in dividends and repurchased 165,500 shares of common stock for a total of $13.9 million. We repurchased an additional 60,000 shares between April 2nd and April 20th at a total cost of $5 million. And as Peter mentioned, our Board declared a dividend of $0.60 per share for the second quarter of 2018. Now, I’ll turn the call over to Mary Sellers.
Mary Sellers: Thank you, Dean. Debt charge-offs for the first quarter totaled $3.5 million or 0.15% annualized of total average loans and leases outstanding, as compared with debt charge-offs of $3.8 million or 0.15% annualized in the fourth quarter of 2017 and $3.6 million or 0.16% annualized in the first quarter of 2017. Non-performing assets were $15.7 million or 16 basis points at the end of the first quarter, down from $16.1 million at the end of the fourth quarter and down from 19 million at the end of the first quarter of last year. Loans past due 90 days or more and still accruing interest totaled $8.2 million or 8 basis points, up $1 million for the linked period and up $2.3 million year-over-year. Restructured loans not included in nonaccrual loans or loans past due 90 days or more totaled $56.7 million, up $1.1 million from the prior quarter and up $3.8 million year-over-year. Residential mortgage loans modified to assist our customers accounted for $19.8 million of the total. As we entered into the ninth year of this credit cycle, our underwriting criteria remained stronger than during the last quarter. As we look to capitalize on our experience during that time to optimize our performance. Accordingly, at the end of the first quarter, the weighted average loan-to-value for the commercial mortgage portfolio was 54%, with -- while the weighted average loan-to-value for the residential and home equity portfolios was 58% and 63%, respectively, and in our indirect portfolio the weighted average monitoring FICO was 709. At the end of the quarter, the allowance for loan and lease losses totaled $107.9 million, given net charge-offs of $3.5 million, a credit provision of $4.1 million was recorded. The ratio of the allowance to total loans and leases was 1.09% at the end of the quarter, down 1 basis point for the linked period and down 6 basis points year-over-year. The allowance continues reflect the strength in the company’s asset quality and the Hawaii economy over this period, as well as the mix and loan growth. The total reserve unfunded commitments were $6.8 million at the end of the quarter, unchanged from the fourth quarter 2017 and up $250,000 from the first quarter of 2017. I’ll now turn the call back to Peter.
Peter Ho: Thanks, Mary. The Hawaii economy continues to perform solidly. Our unemployment rate in March was 2.1% for the sixth consecutive month and remains low compared to an unemployment rate of 4.1% nationally. Our visitor industry continues to grow from the record levels of last year. For the first two months of 2018 total visitor arrivals increased 7.7% and visitor spending increased 8.5% compared to the same period a year ago. For the first two months all four of Hawaii’s largest visitor markets which include U.S. West, the U.S. East, Japan and Canada are showing strong growth in spending, compared to the first two months of last year. In addition all four of Hawaiian Islands saw growth in visitor arrivals and spending in February compared to a year ago. Air lift is up about 10% over a year ago. Real estate remains stronger during the first quarter of 2018. The median sales price for a single-family home on Oahu our primary market increased 2% during the first quarter of 2018, while the medium price of condominiums increased 9% compared to the same period last year. The median sales price of a condo was $435,000 in March, a new record for the Island of Oahu in condominiums. Months inventory at the end of the quarter was 2.1 months for a single-family home and 2.6 months for condominiums. The median number of days on market during the first quarter of 2018 was 18 days for both condominiums, as well as single-family homes. So you can see inventories remain quite tight. We continue to make solid progress in transforming our branches to our Branch of Tomorrow concept. This concept integrates a 21st century digital banking experience with greater convenience and personal interactions to build even better relationships with our customers. We have transformed six branches to-date, with most recent being our Pearlridge branch completed in January. We have several on slate for next year including [Anahola] branch, which should begin construction early next year. Thanks again for joining us today and now we would be happy to respond to your questions.
Operator: Thank you, sir. [Operator Instructions] And our first question will come from the line of Jeff Rulis with D. A. Davidson. Your line is now open.
Jeff Rulis: Thanks. Good morning.
Peter Ho: Hey, Jeff.
Jeff Rulis: Just wanted to kind of pare out some of the out of the expenses just to see what you would view as one-time or I guess seasonal. So you kind of identified the additional seasonal payroll the legal and severance that all adds up to about $5.5 million. I guess in the coming quarters what I suspected of that is to be expect to recur?
Dean Shigemura: So all of the items that you mentioned, we don’t expect to reoccur for the rest of the year. Severance…
Peter Ho: Severance could pare out.
Dean Shigemura: Yeah. So that could be more episodic. But, certainly, the legal reserve, the payroll, the bump in the payroll taxes and benefits will not be reoccurring in the second quarter.
Jeff Rulis: Got it. Thanks. And maybe on the same...
Dean Shigemura: I also should note that in the second quarter we do increase our -- the compensation for merit increases.
Jeff Rulis: Okay. Got it. And then on the -- just the low income housing, is -- do we view that as also one-time the $2.8 million, is that what?
Dean Shigemura: Yes.
Jeff Rulis: Okay. All right. And then maybe one last one, maybe for Peter, just you guys had mentioned you sort of had backed off the public deposit arena that it had gotten pretty competitive. Maybe just an update on the deposit pricing in your market, any update there? Thanks.
Peter Ho: Sure. Yeah. So, I think, we are thinking about pricing, again, I think, some meaningful contextual situations here in our current environment. We are coming off of a truly extended and historic period of effectively zero interest rates. So as rates have begun to rise over the past year, call it, I think, certainly, there are pools of deposits still resident on our balance sheet that frankly represented somewhat lazy deposits if you will that ultimately are going to seek a yield home. So as we look at it, we are pretty clearly convinced that the industry is really on a journey of re-pricing and it’s important to understand that there is a pretty broad spectrum of outcomes out there. So anywhere from, as you mentioned, governmental side, all the way down to our mass market retail side and everyone in between, in private banking and small business and commercial and large corporate and large wholesale. So, yeah, you’re right. We mentioned last quarter that we – likely we are going to sit on the sidelines so long as public time deposits were pricing where they were. There hasn’t been a lot of relief, maybe a touch of relief there, but still pretty expensive money and stuff that we just don’t need to be funding into. So that would be one example. I’ll tell you on the core commercial and on the core consumer side, our betas are still looking quite attractive if you will. Those will continue to rise as rates rise. But, I think, against historical perspectives, certainly, the commercial and the consumer segment feels pretty good for us at this point, although, albeit it’s a competitive market out there. I guess as we look out longer term on the deposit front, we’ll see what happens, it’s feeling like there are additional rate increases out there that’s going to give people quite naturally more of an urge or desire to see what kind of price they can get, not just the Bank of Hawaii, but elsewhere. We are going to do our best to make sure that we maintain the deposit base that we’d like to have for the balance sheet construction that we have. The one thing, we feel good about though is, I think, we are well-positioned. We have got a loan to deposit ratio of 66%, which I think is leading the marketplace here in the Island. So we got an abundance of liquidity if you will. We love the diversity in our deposit base. So we are 51 -- just over 51% consumer and just over 39% commercial and our public book, and frankly, the book is probably the hottest at this point is 9.3% of our overall deposits. And then, finally, by product type. Again, I think a good story there, 52% of our deposits are demand deposits both interest-bearing and noninterest-bearing. Savings is 36% and time deposits come in at 12%. So our deposit base at least by product type is largely transactional, largely the relationship based, and I think, we take a fair amount of strength in what is going to be a tougher pricing environment. There’s no question about that.
Jeff Rulis: Great. Thanks.
Peter Ho: Yeah. Thanks Jeff.
Operator: Thank you. And our next question will come from the line of Brett Rabatin with Piper Jaffray. Your line is now open.
Brett Rabatin: Hi. Good morning, everyone.
Peter Ho: Hi, Brett.
Brett Rabatin: I wanted to, I guess, first talk about the loan growth outlook and just ask one, was there any payoffs in the commercial real estate book this quarter. And then…
Peter Ho: How can you say that, to ask that, and so, yeah, yeah, CRE had a pretty, for them a pretty tough quarter down 0.3%. They had really somewhat of an explosion of scheduled payoffs and transaction maturities in the quarter, which frankly amounts to pretty good production quarter for them. We would anticipate they revert back, I am not going to say to their old ways, but I think that there is still going to be a growth contributor for us. Construction on the other hand, I think, kind of continues down the path that we have described for the past couple of quarters now, just as a lot of those, luxury high rise projects have topped up and are concluded. We should see construction numbers continue to win or down a bit. But C&I was strong up 3.8%, that’s really just a lot of different things, some fundings up on existing relationship to the few new transactions as well. So on balance commercial was kind of had a second tepid quarter in a row of 0.7% on a linked basis. Resi was in at 1.1% growth on a linked basis. Above – frankly above what we think there we going to show up as you might have imagine, Brett, the refi markets has been mugged up a bit by higher rates. And purchase activity is impacted by just a tight inventory situation here in the Islands, somewhat exacerbated on a comparative basis by the fact that there is just a lot fewer project types of transactions that are going to occur in 2018 versus what occurred in 2017. So resi is 1% up is about what we thought, then our other consumer products I think perform pretty well. So to get to your question, if we annualize the quarter’s performance that’s 4.8%, if you look at where we – we are on a year-on-year basis it’s 8.8%. I think if you split the baby there that’s probably about where we’d think loan growth forecasting wise is looking like for us for the balance of the year.
Brett Rabatin: Okay. And then, the other thing I just want to make sure I understood was the commentary around fee income and just the lower overdraft fees. Is that a trend that you expect to continue and then just thinking about of course the growth of total fee income being a challenge, would that sort of mean that some of the other segments might not have a little better numbers than 1Q levels i.e. mortgage banking comes back a little bit, maybe you can have some growth in trust, any additional color on that?
Dean Shigemura: Yeah. So, the – I would say about a $42 million guidance would be what we would provide for the revenue going forward for the quarters. We do still expect overdraft fees to be under pressure and then on the mortgage banking side just with the rate environment that’s a little bit tricky at this point, but about $42 million is what we would expect.
Peter Ho: The kind of the run rate from Q4 is about the run rate we are going to see.
Brett Rabatin: Okay. Great. Thanks for the color.
Peter Ho: Yeah. Take care, Brett.
Operator: Thank you. And our next question will come from the line of Jackie Bohlen with KBW. Your line is now open.
Jackie Bohlen: Hi. Good morning, everyone.
Peter Ho: Hi, Jackie.
Jackie Bohlen: Peter, are you seeing any shift or change in the behavior of your home equity borrowers either higher drawdowns or perhaps, I know it’s a competitive market, but a higher interest from people just as rates are increasing?
Peter Ho: Well, the – we are seeing drawdowns. We are pleased with that. We are – there are—we are always going to have your RIET choppers that are going to jump from special to special to special, we try to stay away from that as best we can. I would say probably the biggest change in the marketplace is it’s become a much more crowded space than it has, say, in the past couple of years. So, I think, as equity values here in the Islands have continued to move up in a very steady fashion that’s kind of opened up the market opportunity and where as -- we were pretty aggressive with building market share over the past couple of years. We have been met by some pretty strong competition, which I think if I think about it or as we think about it that’s probably kind of biggest difference in our growth trajectory within home equity. I think the consumer is not a whole lot different from where they were a year ago.
Jackie Bohlen: Okay. And the competition and the increase to the market that you’re seeing is that from local banks from credit unions or from other players?
Peter Ho: Mostly local banks and credit units.
Jackie Bohlen: Okay. And then if -- also if you could just speak to what if any and this maybe a question for Mary impact you anticipate from the recent floodings in Hawaii?
Peter Ho: Yes. Mary go ahead.
Mary Sellers: Sure. The majority of the damage that we have been able to assess thus far has really been in the Hanalei area. In that area we have about 15 mortgage loans and 16 home equity facilities about $16 million in outstanding, about $12 million were in a flood zone with flood insurance. We really haven’t been contacted by our customers and we have been trying to visit them and reach out to them to see if there are any challenges. I think their initial focus really though is on cleaning out and safety, and so we haven’t gotten too much feedback yet. We do note that the loan to values is that we have in that area are very low and so they should have some financial capacity to help us, help them as they need to rebuild.
Peter Ho: Yeah. Kind of an interesting area, Jackie, I always got a lot of very high end properties, but also a fair number of just kind of market level residences. And so our –first of all our team is in great shape and none of them were terribly impacted by the storm. And then, secondly, we are going to look to support the people’s queries as best we can, but as Mary mentioned, from a product credit standpoint not really much to report there.
Jackie Bohlen: Okay. Great. Thanks for the update and glad to hear that all your team members are safe.
Peter Ho: Yeah.
Operator: Thank you. And our next question will come from the line of Aaron Deer with Sandler O’Neill. Your line is now open. Mr. Deer, your line is now open. Please check your mute button.
Aaron Deer: Hi. Good morning, everyone. Sorry about that. Peter, you had mentioned in your answers to another analyst the split in the difference on a couple of numbers to kind of in terms of guidance for loans. I wasn’t sure what numbers you were referring to there. Can you maybe repeat that?
Peter Ho: Yeah. Sure. Yeah. What I was referring to Aaron, if you annualized our first quarter results on a linked basis that gets you to 4.8% annualized, right. And if you look at our year-over-year performance in the first quarter was 8.8%.
Aaron Deer: Okay…
Peter Ho: And now I was saying is, I think, that if you look trying to figure out what we are looking at growth wise, we are probably right in between those two numbers.
Aaron Deer: Got it.
Peter Ho: That’s why – yeah.
Aaron Deer: Okay. And you’ve given some pretty good guidance generally, the --one question though just in terms of individual line item on the mortgage banking. Looking at the first quarter results just a little over $2 million, is that level pretty much just to the level that you earn on servicing, is that what that is or was there any sales in the first quarter?
Dean Shigemura: No. There were sales. The servicing income is nearly $2 million, it’s about $1.8 million, so the rest of it would be related to sales.
Aaron Deer: Okay. And then maybe just one last question kind of margin related. On the – with respect to the loan book, can you give us an update in terms of what percentage of that re-prices immediately and re-prices within one year if you have that available?
Dean Shigemura: Yeah. In terms of the – just kind of our floating rate loans it’s roughly about 25% and then there’s probably another maybe I would call it 5% that would re-price within a year.
Aaron Deer: Okay. Okay. That’s helpful. Thanks for taking my questions.
Peter Ho: Thanks, Aaron.
Operator: Thank you. [Operator Instructions] And our next question will come from the line of Laurie Hunsicker with Compass Point. Your line is now open.
Laurie Hunsicker: Great. Hi. Good morning.
Peter Ho: Hi, Laurie.
Laurie Hunsicker: I just wondered on the funding side, if we can go back to the public deposit space. I see your public deposits are $1.4 billion, do you have a breakdown of how much is the time included in that number?
Dean Shigemura: Sure. We do…
Peter Ho: Public.
Dean Shigemura: Time, others $818 million…
Peter Ho: Yeah.
Dean Shigemura: … down from $838 million last quarter.
Laurie Hunsicker: Great. Thanks. Okay. And then…
Dean Shigemura: And we would anticipate that to continue to come down.
Laurie Hunsicker: Okay. Thank you. Okay. And then just going back to C&I here, was your growth this quarter all originated or was some of it purchased?
Dean Shigemura: We don’t purchase, you’re talking like purchasing shared national leverage products.
Laurie Hunsicker: Yes. Exactly.
Dean Shigemura: …from banks and things.
Laurie Hunsicker: Yes.
Dean Shigemura: Yeah. No. We are not in that business, Laurie.
Laurie Hunsicker: Okay. But you’ve in round numbers you got about $50 or so million of [SNIC], is that still the same number within the [inaudible] book?
Peter Ho: It’s actually more than that one.
Mary Sellers: Great. Now we have gone about $274 million in outstanding [SNIC’s], although a 68% is Hawaii, 21% on the Mainland.
Dean Shigemura: Yeah. So the 68% are largely loans that we are agent on and so there are more than two and they’re greater than 20. So that’s [SNIC] by definition, well, I think, the definition…
Mary Sellers: Definition moved up to.
Laurie Hunsicker: Yeah. Definition has moved up, yeah, okay. So $274 million under the old. And then what about the leverage leasing total, do you have that?
Mary Sellers: The leverage leasing total is $121 million, about $40 million of which is the fees or supported by securities.
Laurie Hunsicker: Okay. That’s helpful. Okay. And then just last question going back to your expenses and I appreciate your color on all the one-time items. But just wondered if you could help us a little bit, I know that round numbers you’re expecting a $3 million tax windfall reinvestment back into the expense line. How much of that was baked in the first quarter?
Peter Ho: Well, go ahead.
Dean Shigemura: Yeah. So, I mean, it’s really a one-third of – one-fourth of that, because it’s kind of spread out and showing up in two line items. One would be the salary line, which is the minimum wage component and the other would be in our incentives, where it’s effectively our profit sharing where we are increasing that to match the growth in the net income.
Laurie Hunsicker: Right. So round numbers of the $750,000 or so per quarter run rate that you expect was most of that then already into the March quarter or?
Dean Shigemura: Right. Yes.
Laurie Hunsicker: It was. Okay. Perfect.
Dean Shigemura: Yeah.
Laurie Hunsicker: Thank you very much.
Operator: Thank you. And our next question will come from the line of Brett Rabatin with Piper Jaffray. Your line is now open.
Brett Rabatin: Hi. I just had a follow-up on the branches and the kind of the next-generation branch profile. Can you maybe remind us how much that saves per branch, and then, I think, you mentioned you’ve got a couple that you’re doing this year. How many might you do over the next couple of years in terms of what you have left?
Dean Shigemura: Well, we have got 66 branches here in the Islands. So as of now we are kind of 10% complete. I think what we have one slate for next year is not quite 6% six foot but several and so we are going to kind of move methodically. The majority of our branches, Brett, are leased facilities and so our activity in some ways is subordinate to those renewal dates. The basic strategy behind these new branches is multi-fold. Number one, our branches in general are older, I mean, like pretty darn old. So we have got a requirement to re-phase these facilities to begin with. And what the new format allows us to do is to do that with less square footage, so I’ll give you for example. Our headquarters branch several storeys below us is about 12,000 square foot floor plate. Its retail space is on the ground floor. It’s on kind of the corner of Main and Main Downtown Honolulu. So it’s a great location. And we just don’t have the need for a 12,000 square foot or didn’t have the need for a 12,000 square foot Main branch anymore. I mean it was too big and not only was it too big it was de-energized because it was so broad. And so what we were able to do is basically cut that branch in half and really build what I think is a quite beautiful facility that reflects the 21st century and gives us the ability to run more efficiently with our FTEs within the branch. So what you end up with is kind of the right size branch, the right fit and finish for what’s appropriate to our brand, and savings that you pick up just as on the operating side, as well as on the occupancy side. In the case of this branch, we are -- I can’t – I am not going to give you the exact numbers, but the returns on just the transaction are well into the double-digits. When we look at the overall return on capital on everything that we have a vision on, that number, obviously, the best ones come out first and not so good ones later. But the cumulative return on that well into the double digits. So, we think we are getting a good investment, we think we are getting a facility that reflects 21st century brand, and frankly, we’d have to refresh most of these branches anyway.
Brett Rabatin: Okay. That’s great color. And then, I guess, the other thing I want to ask you increased the cash dividend, but you might still have a little bit of capital ratios moving higher with higher level of profitability. Do you intend to perhaps be more aggressive with the share buyback or are you thinking about capital differently with the higher level of profitability?
Peter Ho: Well, we have got the lease conversion on the balance sheet still coming up. We are going to have to figure out ultimately what [indiscernible] are going to mean for us. So, those are some touchstones out there that frankly we are setting aside a little extra for. I would agree with you at 7.5% we have done a bit of a built, part of that was, you saw the profitability in the first quarter and so that was kind of first quarter under the new tax regime using somewhat of an old capital model. So we think with the new dividend that should begin to revert out a bit and then from a repurchase standpoint our activities going to be, I think, from a strategy standpoint as same as you always experienced with us.
Brett Rabatin: Okay. I appreciate the additional color.
Peter Ho: Okay.
Operator: Thank you. And I am showing no further questions in the queue at this time. So, at this point, I would like to hand the conference back over to Cindy Wyrick, Director of Investor Relations for some quick closing comments remarks.
Cindy Wyrick: I’d like to thank everyone for joining us today and also for your continued interest in Bank of Hawaii. As always, please feel free to contact me if you have any additional questions or need further clarification on any of the topics discussed today. Thanks everyone and have a great day.
Operator: Ladies and gentlemen, thank you for your participation on today’s conference. This does conclude the program and you may all disconnect. Everybody have a wonderful day.